Operator: Broadcasts is now starting. All attendees are in a listen-only mode.
Cary Segall: Welcome to ADS-TEC Energy's Full-Year 2021 earnings call. My name is Cary Segall and I head Investor Relations for the company. A recording of today's call and a presentation can be accessed shortly after it concludes from the Investors section of our website. Joining me on today's call, are Thomas Speidel, Founder and CEO of ADS-TEC Energy, and Robert Vogt, the CFO of ADS-TEC Energy. Today, we will be discussing ADS-TEC's latest financial results for full-year 2021, guidance for 2022, and conclude with a Q&A session. Please enter questions through the questions option in go-to webinar and they will be addressed in the order they are received as a conclusion of our prepared remarks. During the call, management will be making forward-looking statements regarding full-year 2022 and our outlook for expected growth in investment initiatives. These forward-looking statements involve risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations, including among other risks and uncertainties, the severity and duration of the COVID-19 pandemic, supply chain issues, and geopolitical challenges. These forward-looking statements apply as of today and we undertake no obligation to update these statements after the call. For a more detailed description of factors that could cause actual results to differ, please refer to the Risk Factors section of our annual report on Form 20-F previously filed with the SEC and posted to the Investors section of our website. Also, please note that financial measures presented on this call adhere to IFRS and non - IFRS. We use non - IFRS measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with the IFRS measures that we provide. A reconciliation of these non-IFRS measures to comparable IFRS measures is included in the earnings release and investor presentation. With that, I will turn the call over to Thomas Speidel, ADS-TEC's Founder and CEO. Thomas, it's yours.
Thomas Speidel: Thanks, Cary. And a very warm welcome from my side, dear ladies, gentlemen and ADS-TEC Energy investors. Today we would like to report to you where our company stands and why we are on the right track in terms of strategy and corporate development. The transformation to an intelligent and decentralized energy supply is still at its infancy. First of all, it is of great importance that we are perceived correctly as a company. We are not a components supplier, nor are we just a charging company or just a battery company. ADS-TEC Energy develops and produces decentralized, smart storage-based platforms that are a crucial basis for the transformation of the entire energy system. Please allow me to reiterate the following message once again, because it is vital that ADS-TEC and our vision be correctly communicated. In recent weeks and months, I noticed the misunderstanding that we are just a charging company, or a component manufacturer for batteries or chargers, power supplies. This is incorrect. As we manufacture the complete system, the software, the services are also provided by ADS-TEC and -- to charge plant operators, but also to power companies to assist the transition to the all electric world. The de -centralization of renewable energy supply and the associated sector coupling can and will only succeed if future energy providers can optimize de -centralized business models individually and as a whole. This is only possible if centralized structures can be broken up and divided into de -centralized and intelligent units. This is what we see happening in the energy market and it's the vision of ADS-TEC Energy. We want to provide the smart eco -platforms and services for all of the future power companies, complete with features, interfaces, and services that enable our customers and partners to run the best and most economical business models, and then bill the end customer. The advent of electromobility and its exponential development is the trigger point in this coming energy system. Millions of electric vehicles will appear on our roads in the coming years. Of course the required quantity of electricity must be available, especially the local and temporary provision for power, and the coverage of peak demand loads will be essential.  To make the charging of electric cost at least as convenient or similar to what we knew from the refueling of our costs, ADS-TEC Energy developed the battery-buffered ultrafast charging platforms, that includes the ChargeBox, the ChargeTrailer and soon this year to follow, the ChargePost. All of these provide charging in minutes instead of hours, and this even on a low powered and power-limited grid. After supplying [Indiscernible], our first blue-chip and strategic partner with more than 400 of our trucks boxes, we began marketing and selling to other customers and partners. Our manufacturing plant in Europe has an annual capacity of thousands of systems and can be replicated and scaled easily. In 2021, global EV sales were 6.6 million, more than doubled the 3 million sold in 2020 and more than tripled the 2.2 million sold in 2019. This growth is at the very early stages as OEMs are expected to introduce approximately 15 new EV models over the next two years, including the arrival of EVs in segments like SUVs and pickup trucks that will unlock new demographic franchise and EV adoption. By 2025, many more models will be introduced that create an abundance of EV choices for every type of driver. Hybrids won't play a significant role anymore as pure EVs with greater battery life, higher capacity and charging power rates are expected to be the standard. We expect these trends to be further accelerated by tailwinds created in the macro-environment related to de - carbonization. Investors' continued interest in ESG -oriented investments, and as the electrification of transportation has never been more widely accepted and anticipated. The improving cost and breadth of offerings comes at a time when rising commodity prices make EV ownership more economically attractive than ever.  Furthermore, with escalating geopolitical issues effecting supply, we're seeing very high oil and gas prices that makes drivers more eager to make the switch to EVs. Correspondingly, we expect the demand for ultra-fast charging capabilities to match or likely exceed this already rapid market growth. Furthermore, as the biggest hesitancy on the part of drivers to purchase an EV is range anxiety, our battery buffer technology allows us to deploy ultra-fast charging stations today, even on a low power electrical grid create where previously only standard DC chargers have been installed and those charging times are much longer. Without a doubt, there will be a lost -- a large fast charging [Indiscernible] with direct connection to the high-capacity power grid along highways and in high-traffic locations. That's what we see and that's what we know. For this purpose, power supplies and chargers will be connected directly to the grid as a component. Transformers and distribution system provide the necessary power. Providers of these supercharger facilities must earn their money by selling electrons through the motorists. Pretty high investments and significant running costs must be circulated and lead corresponding cost per kilowatt hours. Location and capacity utilization are crucial for the profitability. However, since electricity is available everywhere and people will generally choose to charge where it is most convenient and lowest cost. Decentralized fast chargers will also be necessary. They will become part of the general infrastructure. In fact, chargers might even become a standard feature like an elevator or and air conditioning unit in our modern buildings. It will be an expected amenity and not just a luxury option. With the ADS-TEC Energy technologies platform fast-charging will be possible everywhere, and that's important. It will become important to offer, for example, employees, your guests, customers, residents, home owners, etc, a convenient fast-charging service directly on the site. Why make a detour or pay more at a supercharge park if you can do it more conveniently and potentially even for free or -- by using your own generated electricity maybe by photovoltaics? ADS-TEC platforms do not require expensive grid upgrades or expansions. The units are small and they are quiet. Additionally, they offer more technical possibilities than just charging cars, and that's important. So it's not only that you have revenues out of selling electrons. The integrated storage capability can increase flexibility, and flexibility will be key for the future de -centralized and very volatile energy system. They can store electricity when it's cheap. We can cut the peak loads, regulate frequency, or even be used as a billboard, for example, our ChargePost, which includes a huge advertisement screening platform. All that or this is possible with the ADS-TEC platform, and our platform offer our partners and customers lower installation costs because you don't have to expand the grid, long-term availability, which is our service, and many interfaces providing the possibility to use these platforms and the data intelligently for their business model on a regional base and according to the local regulations. As a result, the business to own the units can be optimized and digitally be managed. Just imagine if hundreds or thousands of these flexible platforms are connected, a virtual power plant is created that can do much more than trust charging a car and deploying electrons. We have identified the following, and just let me point that out, vertical market segments for our platforms and for our services. And it's always important that we understand platform and services are going together like twins. We see the ChargePoint operators because they need the best, the cheapest, and the most reliable platforms. We see retail condominiums, apartments, hotels, offices, industrial sites, OEM, auto dealerships, rent-a - car companies, fleets, municipalities, utilities, oil and gas companies, gas station with convenience and fueling services decentralized. Wherever we are, we don't want to take a detour, we don't want to spend the time heading to a charger and waiting. The common thread across these segments is the need for fast charging on likely a low-power electrical grid. We are always in the position as a technology and service partner, not as a charging operator or a competitor in the energy or utility business, so they are our partners, potential customers, and not competition. Based on our internal research, we estimate that the total addressable market for these segments in the U.S. is about $54 billion and it is about $62 billion in Europe so far. Clearly, this is not a small opportunity and it has the potential to be even larger. And here we are only talking about the platforms for charging from ADS-TEC and not the ones for commercial industrial, and in the future, for residential. From a mid-size German company spending now more than 10 years on development and a few brand name customers with limited funding available, the SPAC process provided the necessary capital to emerge as a public company free of debt and [Indiscernible] resources to launch and expand our international business, especially also to North America. Our launch in North America took only a few months during the first steps. Our international sales team is led by our very experienced chief of sales, John Neville. And in the U.S. we have already achieved initial success with channel partnerships established in world orders received, focusing on the [Indiscernible] and on the automarket segments. We will continue to expand the sales team and target the identified vertical market segments that represent a huge market opportunity as pointed out. Due to our business model of supporting and empowering the future power companies with our platforms and services, we are addressing the market with key accounts and with channel management structures. The same approach we do in Europe as well as in the U.S. As my colleague Robert will point out next in his presentation of our financial results, you will see that after our initial partnership with Porsche, we have significantly expanded our business outside of Germany. Additionally, the service component of our business will play an important role as we offer our customer service on the products they purchase and they operate. This starts with the supply of spare parts, over-the-air updates, security purchase, and continues with platform-specific adoptions that extend to service level availability models up to remote monitoring so that the units are completely served to be operated and run by our customers and partners. In addition, there may be an opportunity for some provision of the data and also database services, which can be used by ourselves for prediction and for better operation, as well as for our customers and partners in their own business model. The platforms we sell will not only be sold but we also want to ensure that they are operated optimally over a long time period. The operation of our hardware is up to our customers and partners, but ADS-TEC Energy ensures that the distributed platforms, the functions, the reliability, and that they are used in the most optimal way. In the U.S. we hired highly experienced people now who know models coming from other businesses and structures, for example, telecommunication and other decentralized computing systems and installations. We expect to have the first service contracts executed in 2022, so this year, and we anticipate that this will lead to recurring services and revenues over the coming years if the eco -platforms are used and operated. And they are not operated for three or five years. They will be operated for a longer time, and the better and longer they can do it, so the better the total cost of ownership will be. Due to changes in the regulatory environment and how the immobility market will be managed over the next years, for example, 35 metering something we're discussing now in Germany, but we see that that might apply for other countries as well. We see new technologies plug n charge and many other things coming up. We expect that also service orders will follow so that we have additional revenue streams by adopting and customizing the platforms for our partners and customers supporting the platforms over years or even decades. As I said, these complex platforms, hardware-software services are not just components, like just a power supply, which you buy and use. A good example would be, for example, an earpiece system that requires constant maintenance and expansion to be able to implement beyond individual business model. We -- as a company, we are executing on our expansion plans in the U.S.. faster than originally planned, and the search is already on-going to determine the location for our manufacturing plant in the U.S. So it's not only manufacturing, it's service, warehouse, and manufacturing. We expect to open this location this year to handle services, warehousing, and then also, assembly and testing. ADS-TEC is pleased to announce that we have added highly experienced managers because of our longstanding collaboration with Porsche. These hirings where in the areas of product marketing, quality assurance, development and also a C-level position, which is the Chief of Purchasing and Logistics. So far, despite all the challenges, we have managed the supply chain well and we remain confident that we will be able to continue to do so. Our weekly task forces helps in this regard, as well as our ability to act in a highly technical manner. As an example, we are well on the way to releasing a compatible second source for a very critical component, which is the silicon carbide semiconductor. In general, however, it remains to be said that the procurement market is unpredictable as all of us know, and that even all the confirmations from large international groups have become unstable in terms of delivery or even committed prices. It is very good that we will now have further management reinforcement in international logistic and procurement in the form of an experienced specialists from the automotive industry as of May 1st, which is next week. The risks presented by lockdowns in China, interruptions of supply chains, cost, logistics, resources inflation, the war in Europe, and the overall geopolitical situation are still present. The all-clear sign cannot be given at this time, but we are confident that we can find alternative solutions as we have done before, even for unseen events. As Robert will discuss and point out, we have a good order backlog. Year-to-date having just completed Q1 at more than $60 million. This is a good number to achieve so early in the year. However, it should also be noted that our customers and partners are not immune to the same uncertainties, and we are aware of potential variability. Some examples of the variability include open permits on our customers -- on the customer side, delayed, create a lack of capacity and they're waiting for approval to install the unit. So this is also something we see, and which might lead to delays. As previously announced, we will launch new products in 2022. In the charging area, the launch of the CME mobile battery based solution that we call the ChargePost is particularly worthy of mention. We announced that already on the Investors Day that the ChargePost complements the ChargeBox with an all-in-one solution that also features a large advertising display to allow for additional sales revenue independent of charging. The ChargePost is by no means a replacement for the ChargeBox. That's important to understand. It's rather a strategic complement for different use cases with its respective advantages. The ChargeBox will continue to make sense especially where the footprint for the dispenser is small and where remote installation of batteries and power supplies make sense. We already have a first contract signed for the ChargePost with a strategic customer who does not wish to be named at this time. The initial order is about 50 Units and it will be supplied in Europe as early as 2022, so already this year. And the customer has plans to purchase more than 10,000 units over the next few years. In the U.S. we expect to launch the ChargePost next year after the certification for the U.S. are done, and we are seeing already now strong interest. I want to point out at that large customers initially want to test the sample in their own labs before volume procurement can be negotiated, so that's something we have to know. They first put that in their labs and then the next step of ordering and negotiating volumes will come. Let me just spend some words about the commercial and industrial products side and the business.  So we also see here new introductions and products in 2022. In the summer and fall, we expect to launch complete outdoor storage systems that can be operated also in parallel and so can be scaled. The residential product, MyPowerPlant, as I mentioned that already on the Investor Day, is still under development and will be delayed from 2023 to 2024. To keep on schedule with the important market launch of ChargePost, we must dedicate the necessary resources here, and that's what we did. The launch of the ChargePost also means that the company's proprietary charge controller is being used for the first time. That's a very important message, so this means that our dependency on third-parties has been strategically lifted and there is now full capacity for action in hardware and software also on the side of the charge controller. In a further step, the company's own charge controller can now be used in the ChargeBox as well, which will continue the company's own ability to act and to optimize for the future. With this overview, I would like to hand it over to Robert, who will report about the financial and more details around the financial and explain it. Afterwards, I will be happy to answer any questions you may have. Robert, over to you.
Robert Vogt: Thanks so much. And good day everyone. After covering our financial year 2021 results, including the revenue results before tax, gross profit, order book, cash on hand, and charging unit sales, I will provide some guidance for 2022 with respect to revenue, order book, and charging unit sales. Financial year 2021 revenue was €33 million down €40 million from financial year 2020 revenue of €47 million. This was €3 million below our previously announced guidance of €36 million in August 2021 and €1 million above our announced guidance during our investor call last month. The €3 million drop is due to a shipment logistic issue which delayed the revenue recognition into 2022. Our contract with Porsche account for around €40 million in 2020 and completion of that order provided €70 million in revenue in 2021. We had revenue of about €6 million related to charging unit sold to new customers. In total, about 186 charging units were sold in 2021. The commercial industrial business had about $6 million in revenue and equates to a 16% year-over-year increase. The service segment contributed about 2 million euro, that represents an increase of 82% year-over-year, and upper sources accounted for €700 thousand. We are pleased to have diversified our revenue stream, which we believe lays the foundation for a strong financial year 2022. From a geographic perspective, financial year 2022 revenue was close to be exclusive in -- or exclusive from Germany. However, expansion of our sales effort in 2021 resulted in 28% of our FY21 revenue coming from outside of Germany, including new business from Spain, Ireland, and our European economic area. Our international sales expansion continued with the launch of our U.S. business in late 2021. Now, turning to the results before tax. Our financial year 2021 came in at minus €87.2 million down from minus €10.3 million in 2020. Important is to acknowledge that this decrease was mainly driven by a shared listing expense of about €65.8 million and a special [Indiscernible] of €62 million. Some words to the €65.8 million or shell listing expense. A portion of it, is cash-related, and a lot is non-cash related. It is a little complicated from accounting required, and we provide detailed explanation in our 20-F. Turning to gross profit/loss. Our financial year 2021 came in at minus €2.3 million down from €1.8 million in financial year 2020. This is a result of our commitment to invest in our future through research and development and adding personal. As a result, we were able to keep our high qualities staff and continued to invest in our business. The non-IFRS cross profit, deducting depreciation and amortization expenses, was at €0.8 million, still positive despite the challenges mentioned by Thomas previously. We had a significant increase in orders for the financial year 2021, and this came in at €34.5 million representing an increase of 38 -- 386% year-over-year. This translates into a currencies backlog of more than €60 million. Finally, our business combination with EUSG in December 2021 provided us with a significant amount of cash for the future growth and allowed us to launch our U.S. business. At the end of 2021, we had cash-on-hand of about €102 million, and as of today, no debt. Now, I would like to turn to the guidance for 2022. We have been a public company for just over one quarter and our business is really growing, with booked orders of more than €60 million, an increase of almost a 100% year-over-year from our financial '21 revenue.  We are very excited by the reception in the U.S. for our battery-buffered charging technology and we are having very constructive conversations with many customer in all our target segments that Thomas highlighted earlier. As a result, we expect revenue for the 2020 -- financial year 2022 to come into the range of €80 million to €100 million and we anticipate that this revenue would be backloaded to the second half of the year based up on the confirmed order backlog. Additionally, we would like to provide guidance on charging unit sales for the financial year 2022 in the range of 400 to 500 units. Outside of our continuing supply of units to Porsche, we expect to grow on non-Porsche charge units from 61 units shipped in 2021 to at least 400 units shipped in 2022. We expect that our positive adjusted gross margin in 2021 will improve in 2022. Finally, we expect our current cash on hand to support us through positive cash flow. That said we will continuously monitor our capital structure and growth opportunity for the future. With that, I will turn it back to Cary to address any questions that may have come in through the chat.
A - Cary Segall: Thank you, Robert and Thomas. It seems that we have one question. Appreciate, if you have any questions from the audience, can you please send them in through the questions option, through go-to meeting, so we can address them? Thomas -- Actually, let me ask this question for Robert. The question is, how much money do we expect to raise through the warrant exercise? Robert, can you address that question? How much money will we raise through the warrant exercise?
Robert Vogt: May I can better understand the question? What is meant by warrant exercise? We have currently one outstanding, of course.
Cary Segall: I'm sorry. I don't have any more background, that was just the question in terms of the warrant exercise so I guess -- I guess just maybe the one that you're saying is outstanding.
Robert Vogt: Maybe we can collect this question and we can answer it in a --
Thomas Speidel: Can the person who questioned give us a little bit more background so that we can answer? What does it mean? Is it how many warrants we expect to be exercised or what was the question? On what value or what number?
Cary Segall: Let's move onto the next question.
Thomas Speidel: Okay. So but if we have more information, please let us know.
Cary Segall: Yes, I will.
Thomas Speidel: So because to execute or exercise the [Indiscernible], that's up to the people owning the [Indiscernible] and not up to us.
Cary Segall: Yes. So here's the question, deliveries from usual suppliers continue to be pushed out further and further into next year. You mentioned having a U.S. factory this year, can we meet our deliveries in 2022 under the current circumstances?
Thomas Speidel: These are two answers to that question. Number 1, we would be able to produce the units in Germany. So that's not a question of production. So whether -- even if the site in the U.S. would not be available just in case we could produce the units here in Germany. So that is nothing which would affect the projection. The other part of the question is, and this is not in our hands and I tried to mention that in my speech, that our customers are facing the same problems now. So, for example, if they prepare a site and they don't get material or their sub-suppliers are delayed for whatever reason in the supply chain or they don't get approval in time and there are delays for government approvals or whatever, so their projects might be postponed and this is something when they then are calling off a little bit later than expected then this is what we see all over the businesses because everybody out there is now facing the same situation in reality. But we, from the material side, from the purchase, from being prepared to produce the units, as I said, we're very confident and we're having these costs for the material. So I don't see that we will not be able to produce it. The question is, is it delayed? That's not only just about us, it's also on the customer side.
Cary Segall: Thank you, Thomas. Another question for you. You mentioned storing energy in your ultrafast chargers, how do you avoid draining the storage to meet the needs of the electric vehicle?
Thomas Speidel: That's a very good question and now we're directly in, why did I spend so much time at the beginning to explain the business model one more -- once more? The operation, how our units -- it's a platform, how it's used, and what is the best business case for that specific location is mainly driven by our partners and customers. Let me makes just one example; if you go to a car dealer in the U.S. or in Germany, in Sweden, or wherever he might have a photovoltaic on his rooftop or he has not. He might get money from peak cutting because he gets paid from his local utility provider by not taking that peak, or that demand charge in the U.S. So what ADS-TEC is not doing, we are not the company which is doing that specific regulated planning and operation, we prepare the platform to operate it and to do it on a physical level. So to answer the question clearly, what the battery will or the capacity will be used for, whether it's completely stored and is waiting for a car to be charged, or whether it's used to cut a peak, this is at the end the decision of the local operation and that is where these guys are making money out of, and that's what I wanted to explain.
Thomas Speidel: If you only ever charged for selling electrons then you have only one business case. You are pulling electricity electrons from the grid. You're transforming them from AC to DC, and you are delivering these electrons to the car. With our platforms, you have thousands of different opportunities, time-wise, frequency regulation. You can use the buffer for storing excess of electricity, whatever, as in these business models they are the core business models and the secret they stay it that way of our partners because they know the individual site location regulation. They are building the end customer, and they can make the best out of. That's exactly the business model of ADS-TEC, that we Provide the system, including services so that they have availability guarantee, for example, that they know these assets out there are available, and they can operate and use them in the best way to make money out of it. So it's not us deciding whether the capacity in the battery is being used for only charging a car or cutting a peak. This is done by our partners. We call them the future power companies now, so. And this is, by the way, also something you see in the charging operating segments. If you look at the companies and then you see that they are adding they call it demand-side management on additional services. And that's, for example, the company which does not want to be named, where we sold the first 50 Units of the ChargePost. They exactly have our own software, which is operating our ChargePost and they are optimizing the usage on different locations to make at the end the best profit and operating them as economical as possible.
Cary Segall: Great. Thank you very much, Thomas. That's a really good explanation. Robert, this question is for you. Of the 400,000 to 500,000 unit sales guidance, what portion is already secured in the backlog?
Robert Vogt: In our backlog, we have secured about -- above 200 units already.
Cary Segall: Okay. About -- over 200?
Robert Vogt: It's over 200, yes.
Cary Segall: Okay. Thank you, Robert.
Thomas Speidel: And if you see it from the euro amount, it's €60 million, we have order backlog and the prediction for the revenue is 8,200. So for the first quarter, having 60 on hand is pretty good. But we -- and that's exactly the point we must consider that deliveries might be not our side, but also in customer's side, will be delayed, but they cannot take it this year and they might move it over the 2022 to 2023.
Cary Segall: Great. Thank you, Thomas. I have another question for you. What differentiates ADS from the systems that are offered by Tritium?
Thomas Speidel: Tritium is just a power supply. So that is an AC-DC converter. If you want to charge with 300K, then the grid must provide 300K and it's only transforming AC from the grid to DC to the car. And this kind of power supplies you can -- there are many suppliers. Now, you can buy that in China, fixed charge, you can buy that from Siemens now, you get it from ABB, you get it from [Indiscernible]. So these, I call them the standard chargers, so they have no battery, no buffer, no flexibility, no advertisement. So no billboard function. These chargers, and this is what I mentioned before, they can draw electricity from the grid transforming from AC to DC and load it in the car's battery. And we have, on a very small footprint, we've integrated that flexibility. So we don't need this 300K provided by the grid, which saves a lot of costs for our customer. Because if they want to charge with 300K, you have to expand the grid. Grid expansion is very expensive. That's the difference -- the core difference. So I can go in detail, but I think that will be too much now for this call on the technical side.
Cary Segall: I got it. Robert, do you want to address the warrant question?
Robert Vogt: Yes. In the end of the day, I think that is quite a theoretical question. But let's assume they would all exercised as soon as the stock price is over $11.50 in the next four years. And we have currently outstanding warrants about -- private and public warrants together around €11.5 million and if it would execute then we would receive $132. -- $133 million. I hope this addressed it.
Cary Segall: Great. Thank you very much, Robert. One more question for Thomas. What impacts are supply chain and inflation difficulties having on the business in 2022, including your supply of battery cells?
Thomas Speidel: Inflation for the whole year nobody can predict. We're standing at the very beginning. We see there's increasing -- I cannot answer that. Nobody can do that. On the delivery battery cells, we said that already last year, we have two big supply contracts. They are -- well, if we have order confirmations, so we expect that we get everything we have ordered. Is it a 100% sure? Nothing is a 100% sure, but they are well-known suppliers with order confirmations. So yes, we expect that we get the batteries we have ordered and it's also public and I said that last year we have ordered more than we expect because everybody knows that battery are so hard to get. The commodity prices are going up. So what we see, and we see that also on the competition or competitors' side, prices are going up, we see that commodities lithium, nickel, manganese, but let's say almost everything has a huge price increase. The good thing is that the market is accepting it, what we see. So when we're talking to customers or potential customers, they know that prices are going up. They see that on the other side, on their expenses, electricity cost has gone up significantly and will further go up and that makes the business model even more attractive because if you can save electricity or demand power, if you can use your own photovoltaic which is on the generation side much cheaper than now what we pay from our utility company, so this is -- it's a balance. We cannot say at the end of the day with the inflation on our supply chain and the shortage of chips and whatever else everybody is discussing we see that, yes.  But on the other hand, we also see there is demand and people are looking forward and they see that their costs are increasing as well. And so at the end of the day it's a question of the business model and then I'm back where I started. At the beginning if you have a system which has not only just one business case, but many and that you can program and you can optimize it for the local needs and that's exactly the differentiation of ADS-TEC to a charging company. All of these operators, all of these companies now know and you just need to read the press and read the statements of the charging companies; the business models are changing slightly or even in bigger steps because regulation, prices, everything is volatile. And with our solutions you can at least follow this volatility by using the platform to make the best economical while you out of it. And so we're very confident and positive about the overall view into the future. And so how big the inflation will be over the current full-year? I can -- I cannot say that.
Cary Segall: Thank you very much, Thomas and Robert. With that, I just want to thank everybody for taking your time to attend the ADS-TEC earnings call. We appreciate your interest. If you have any follow-up questions, feel free to reach out to me. Otherwise, I wish you all good health and look forward to speaking to you again in the near future. Thanks very much. Have a nice rest of your day.
Thomas Speidel: Thank you.